Marcos López: Good morning to everybody. A warm welcome to all of those attending the presentation of Inditex’s results for 2022. I am Marcos López, Capital Markets Director. The presentation will be chaired by Inditex’s CEO, Oscar García Maceiras. Also with us is our CFO, Ignacio Fernández. The presentation will be followed by a Q&A session, starting with the questions received on the telephone and then those received through the webcast platform. Before we start, we will take the disclaimer as read. Please, Oscar.
Oscar Garcia Maceiras: Good morning, and welcome to our results presentation. It is my pleasure to join you today. In 2022, our business model has continued to deliver strong growth. This performance relies on the 4 key pillars that we have highlighted to you previously: our product offering, a unique customer experience, our focus on sustainability and the talent and commitment of our people. Leveraging on our fully integrated store and online model, these strategic pillars have accelerated our differentiation. The execution of our model has been remarkable despite a challenging environment. We have had a very strong sales performance throughout 2022. Our collections have been very well received. This is the main driver why sales, EBITDA and net income have reached historic highs. Our operating performance places us in a robust financial position. We have generated significant free cash flow, taking our net cash position to €10 billion. We are proposing a dividend increase of 29% for fiscal year 2022 to €1.2. The strong sales performance has continued beyond this period, with the Spring/Summer collections 2023 very well received by our customers. Store and online sales in constant currency between the 1st of February and 13th of March 2023 increased 13.5%. Store and online sales in constant currency between the 1st of February and the 13th of March, adjusting for operations in Russia and Ukraine over 2022, grew 17.5%. Let me highlight some key figures for the year, marked by the strong performance of our fully integrated store and online model. It’s this unique combination of both channels that has allowed us to operate so strongly through recent challenging events. In 2022, sales grew 18% to reach €32.6 billion. Sales were positive in all geographical areas, in store and online and in all concepts, showing the strong reception of our fashion proposition. A key factor of the year has been that traffic and store sales increased markedly. Store sales grew 23%. This rate of growth is even more remarkable as it has been achieved with 10% less stores and 6% less space, showing the strong increase in store productivity. Inditex’s sales per square meter are today 16% higher than in 2019. We can confirm that the strategy resulting in the store optimization program is a resounding success. In parallel, online sales continued growing healthily to €7.8 billion or 4% higher than the ‘21 record number. This is again especially notable in the context of the strong return of store traffic of 2022. As a note, our online sales in 2022 have doubled over 2019. These figures speak for themselves and show the strength of the integrated store and online model. At the bottom line, net income increased 27% to €4.1 billion. Following our strong performance in 2022, in today’s presentation, we will focus on a wide number of initiatives to take Inditex to the next level of growth and increase our differentiation going forward. We have complete confidence in the ability to grow our unique business model. I will now hand over to Ignacio to go into the detail behind the headline numbers.
Ignacio Izuzquiza Fernández: Thank you, Oscar. As you have seen in our release, Inditex had a very strong execution in 2022 despite a challenging environment. As Oscar mentioned a few moments ago, sales, EBITDA and net income all reached historic highs. Sales have progressed strongly, up plus 18%. We have managed the supply chain activity, and this has driven a currency gross margin. Operating expenses have, of course, been managed rigorously. As a result, net income increased 27% to €4.1 billion. We continued generating significant free cash flow, taking our net cash position to €10 billion. Let me reiterate that sales [have increased] very nicely, plus 17.5%, reaching €32.6 billion and grew 18% in constant currency. Sales have been positive in all key geographical areas, in store and online and in all concepts. This is despite the fact that operation in the Russian Federation ceased on the 5th of March 2022. In 2022, Inditex’s traffic and store sales increased significantly, with store differentiation being key. Online sales also progressed satisfactorily over and above the record 2021. Oscar has referred already to the positive drivers affecting our store and online sales platform in this year. So I will not explain myself on the subject. As we have already commented, sales have been positive across all key regions. We enjoy a global presence. And as we have previously mentioned, the United States is our second largest market. In 2022, gross profit increased 17% to reach €18.5 billion and demonstrated a healthy execution of the business model. The gross margin reached 57%. There has been very rigorous control of operating expenses across all departments and business areas. Operating expenses increased below sales growth over 2022. Including all these charges, operating expenses grew 5 percentage points below sales growth. In the face of possible supply chain tensions going into fiscal year 2022, Inditex temporarily accelerated inventory inflows in the first 9 months of the year in order to increase product availability without any change to commitment levels. Collections were of high quality and led to strong sales growth. Due to the robust sales over 2022, an aggressive normalization and supply chain condition by the end of the year, inventory returned to regular levels and was just 5% higher as of 31st January 2023. These actions, in conjunction with the strong cash flow, took the net cash position to €10 billion. With all of this, you can see funds from operations after fixed lease cash payments reached historic highs at €5.7 billion. And now over to Marcos.
Marcos López: Thank you. Following on Ignacio’s comments, I would like to highlight the robust group performance in a challenging environment. Let me point out 2 key metrics. Despite significant disruption in some key markets over 2022, Inditex’s profit before tax on sales has increased 130 basis points to 16.5% in line with our historical average. Even more remarkably, return on capital employed has increased 473 basis points to 33% also in line with our historical average. In 2022, we have opened stores in 33 different markets and have progressed with optimization activities across all concepts. Store sales have grown significantly. Zara has, of course, had a remarkably strong year in 2022. The performance for the younger concepts has mainly to do with exposure to the different geographical areas and has been robust across the board. We are pleased with the execution of the concepts over 2022 in a very challenging environment. This can be seen in the current scoreboard, which shows a very healthy set of metrics across the board. Back to you Oscar.
Oscar Garcia Maceiras: Thank you, Marcos. Inditex continues to see strong growth opportunities. Our key [indiscernible] the customer experience to increase our focus on sustainability and to preserve the talent and commitment of our people. Strengthening these areas will drive long-term organic growth. The flexibility and responsiveness of our business in conjunction with in-season proximity sourcing allows a rapid reaction to fashion trends and a unique market position. Our business model has great potential going forward. The growth of the group is underpinned by the investment in stores, the advances made to the online sales channel and the improvements to the logistic platforms with a clear focus on innovation and technology. Sustainability is a key part of the strategy. Over 2022, we have seen very strong progress of our unique business model and a material increase in differentiation through efficiencies in all areas of our operations that will result in an enhanced customer experience. To take our business model to the next level and extend our differentiation further, we are developing a number of initiatives in key areas for the coming years. We will continue focusing on the creativity, quality and design of all our products and reinforcing the commercial initiatives of all our concepts. Let me show you some of the collections that will be available throughout 2023. A good starting point is Zara Woman Vacation look; Zara Man Studio collection; Zara Kids Spring/Summer collection; Zara Home’s chromatic poetry; Pull&Bear’s Equals unisex collection; Massimo Dutti’s Linen collection. Bershka’s Denim statement; Stradivarius Teen collection; or Oysho’s Bandaloop collection. To strengthen our ability to offer customers the latest fashion, we are going to increase our logistic capacity in the distribution centers for Zara in Arteixo, Zaragoza and in Lelystad; Bershka in Tordera; and Stradivarius in Sallent, with a special focus on the optimization of our operations. We will continue to offer the best customer experience both in our stores and on our online platforms. Regarding our stores, the concepts will launch in new markets: Stradivarius in Germany, Oysho in the United Kingdom; and new locations, Zara in Champs-Élysées, Paris; and in Plaza del Duque, Sevilla. Additionally, we will make important enlargements in some of our most emblematic stores: Zara Rue de Rivoli Paris; Zara Stratford, London; or Bershka Galleria Vittorio Emanuele in Milan. Our store differentiation will remain very high as we introduce the latest store look into all new stores. We see significant long-term growth opportunities in the United States. In the next 3 years, we will develop around 30 projects in the country, including new stores, relocations and enlargements in cities such as New York, Los Angeles, Miami, Chicago, Dallas, Austin and Las Vegas. From 2023, we will introduce a new security technology in our stores that will allow us to eliminate hard tax. This new technology will imply a significant improvement in customer experience, facilitating interaction with our products and improving the purchasing process. The new system will be progressively implemented in all the concepts and will be the basis for us to continue deepening the digitalization of stores under integration with online platforms in the coming years. Now let’s talk about sustainability. At Inditex, we are on the right track to achieve all the sustainability commitments previously announced. In this sense, 2022, we achieved 100% of the electricity used in our facilities, central services, logistics platforms and stores from renewable energy. In terms of circularity, the Zara pre-owned platform currently available in the United Kingdom will reach new relevant markets, starting with France and Germany. Through this platform, we will continue helping our customers to extend the life cycle of their Zara garments through donation, repair or resale. We continue deepening our sustainability strategy, and we will present at the next AGM new commitments that demonstrate our ambition in this area. We will continue to promote the talent and commitment of our teams in order to remain being a benchmark employer. In 2023, our changemakers project will already be present in all markets and with the ambition of having at least one sustainability ambassador in each store. We are increasing our diverse and inclusive character, strengthened by our incorporation into the Global Business and Disability Network of the International Labour Organization and our commitment to double the number of employees with some type of disability in 2 years. Our commitment goes beyond our teams and reaches the people who work in our supply chain. In 2022, we have reached the 15th anniversary of our agreement with IndustriAll, this is one of the key tools used to promote work participation and respect for freedom of association. The next step will be the launch of a new strategy for Workers at the Centre 2023 to 2025 with renewed ambition in order to be able to positively transform the entire industry. Inditex operates in 230 markets, with low share in a highly fragmented sector, and we see strong growth opportunities. We expect increased sales productivity in our stores going forward. The growth of gross space in 2023 will be around 3%. Optimization of stores is ongoing. Inditex expects space contribution to sales to be positive in 2023. We expect to see a very healthy evolution of online sales and an increasing participation in the group total. At current exchange rates, Inditex expects a minus 1% currency impact on sales in 2023. For 2023, Inditex expects a stable gross margin plus/minus 50 basis points. We are planning investments that will scale our capabilities, obtain efficiencies and increase our competitive differentiation to the next level. For 2023, we estimate ordinary capital expenditure of around €1.6 billion. We have an attractive and predictable dividend policy, which consists of 60% ordinary payout and bonus dividends. For fiscal year 2022, the Board of Directors will propose to the Annual General Meeting a dividend increase of 29% to €1.2 per share, composed of an ordinary dividend of €0.796 and a bonus dividend of €0.404 per share. The dividend will be made up of 2 equal payments: on the 2nd of May 2023, a payment of €0.6 per share ordinary; and the remainder, €0.6 per share on the 2nd of November 2023. Spring/Summer collections have been very well received by our customers. Store and online sales in constant currency between the 1st of February and the 13th of March 2023 increased 13.5%. Store and online sales in constant currency between 1st of February and 13th of March, adjusting for operations in Russia and Ukraine over 2022, grew 17.5%. Thank you all for attending. That concludes our presentation for today. We would be happy to answer any questions you may have.
A - James O’Shaughnessy: [Operator Instructions] The first question comes from James Grzinic from Jefferies.
James Grzinic: Just very quickly, is €1.6 billion CapEx, the new ordinary level of investment that you require now to drive the step change in strategy that you’re talking about today?
Oscar Garcia Maceiras: Thank you, James. Well, we continue to see strong growth opportunities, and our key priorities are to continually improve the product proposition, to enhance the customer experience, to increase our focus on sustainability and to preserve the talent and commitment of our people. And strengthening these areas will drive long-term organic growth. Our ambition is to continue growth in every market and with every concept. All of our concepts, as you have seen, continue to grow year after year, with double-digit EBIT margins and high returns on capital employed. For 2023, we are planning the investments that will scale our capabilities, obtain efficiencies and increase our competitive differentiation to the next level, consistently with our ambition to grow in every market and in every concept. And we estimate an ordinary capital expenditure of around €1.6 billion.
James O’Shaughnessy: The next question comes from Richard Chamberlain at RBC.
Richard Chamberlain: So just following up from James’ question. Can I ask about what the store and capital investment plans are in the U.S. and the Americas for the coming year, please? And where do you see your sort of store numbers and space developing in the U.S. now it’s become, obviously, a very important market for Inditex?
Oscar Garcia Maceiras: Thank you, Richard. Well, we see significant long-term growth opportunities in the United States. We have, at this moment, less than 100 stores there. This is a market in which for every $100 of fashion sold, we take less than $0.50 of that. So we see very strong growth opportunities. Our idea is to begin with at least 30 projects in the coming 3 years, including new openings, enlargements, refurbishments. And of course, we will keep on developing additional initiatives to improve our online capabilities there. This is one of the key markets for Inditex. And our ambition is to keep on growing there.
James O’Shaughnessy: The next question comes from Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Just to follow up really on the CapEx point, apologies. Is there any way you could just give us a little bit more detail kind of breakdown of the delta versus last year over run rate historically? How much more into supply chain capabilities or digital over in store CapEx? Any additional detail you can give, that will be very helpful. Clearly, that’s a material number we’re all focusing on.
Marcos García: Well, Sreedhar, as Oscar has mentioned, what we’re talking about is about growth capital expenditure. That’s very, very clear. To take the company to the next level, we have to keep on investing in the fashion proposition, in customer experience, sustainability and, very clearly, in our people. But also, we need infrastructure to keep on developing sales at the rate we’re doing. You’ve seen the trading update, very strong trading update. And you need to support that with significant investments going forward. So we talk about growth CapEx. As you can imagine, the bulk of the CapEx we’re referring today is going to the stores. But also, we have a number of projects that we need to plan in advance. [Last year], we’ve mentioned the distribution centers in Arteixo, in Lelystad and in Zaragoza. That will continue to differentiate the company going forward. So as usual, the bulk of the CapEx is focused on stores but also in the logistics part and, very specifically, in automation and optimization of the distribution, right? Bear in mind that our model is in a [secularly] link stores and online. I mean we’re not thinking of just 1 of the 2 channels. It’s the 2 channels that create the strong differentiation you have seen in place. And this is what we want to refer to. We believe we have an enormous growth opportunity, and we have to invest for the future. We also are including a couple of multiyear projects that, as you can imagine, have some upfront investments that you have to do in terms of land or foundations. But all in all, we believe that with the returns we’re achieving right now, it is the right thing to keep on investing for this future growth.
James O’Shaughnessy: The next question comes from Nick Coulter at Citi.
Nick Coulter: Just on your SG&A profile, please. [Technical Difficulty]
Oscar Garcia Maceiras: Hello?
Nick Coulter: As you move forward, please?
James O’Shaughnessy: Nick, if you wouldn’t mind, please repeat that. There was a slight technical error.
Nick Coulter: Apologies. So just on your SG&A profile, given the levels of cost inflation around the world, how do you think about controlling or leveraging that line as you move forward, please?
Marcos García: Nick, as you have seen in our release, our operating expenses have grown well below sales, 5 percentage points if you include all the lease adjusted costs that are now due to IFRS 16 into different lines, okay? So cost discipline is a very strong factor for Inditex. It’s always been the case. And if you refer to the different lines, you see that clearly, with efficiencies we’re putting in place and the different programs we have in place, we would expect -- we will continue to expect a very disciplined approach in the coming years. I know that there have been some lines referring to some possible wage increases. What we can tell you is that with the wage increases we have factored into our operations for this year, we are not expecting any material impact coming from them into the P&L account. So we expect a broadly stable structure in the P&L for the coming years.
James O’Shaughnessy: The next question comes from Warwick Okines from Exane BNP.
Warwick Okines: I’ve got a question about China. There was another large number of China store absorptions last year. Is there more to go in absorptions in China? And has the store reduction been with the intention of still growing in China? Or are you scaling back in the market?
Oscar Garcia Maceiras: Thank you, Warwick. Well, China has been a very challenging last year due to the rolling restrictions across the country throughout the year, but we remain confident about our opportunities there in the medium to long term. We remain having a store presence with Zara, Zara Home, Massimo Dutti and Oysho in China. Fashion demand, fashion appetite continues to be strong there, and it will remain a core market for Inditex. We are fully confident of our capabilities or keeping -- proposing to the -- our Chinese customers a very good fashion proposition.
James O’Shaughnessy: The next question comes from Rebecca McClellan from Santander.
Rebecca McClellan: Can you hear me?
James O’Shaughnessy: Yes, we can. Yes, we can hear you, Rebecca, please go ahead.
Rebecca McClellan: I’m just curious of the 3% gross space growth in 2023. What -- how does that split sort of new stores versus enlargement? And as a sort of an extension to that, what is the sales productivity of the supersized stores versus sort of average the [indiscernible] how do you [serve] productivity of these stores?
Oscar Garcia Maceiras: Thank you, Rebecca. Well, Inditex store sales grew 23%, reflecting incremental footfall and increasing store productivity. Bear in mind that this higher level of store sales have been achieved with 10% less stores and 6% less commercial space [than] in 2021, as we have already mentioned during the presentation. This is a consequence of our process of optimization that has been intensified over the last 3 years as we have concluded the retail optimization program. As a result, we have been left with a network of bigger, better and more beautiful stores in the best retail destinations globally. These destination stores, fully digital and sustainable, provide the customer with a good reason to visit us, and they sell 16% more per square meter compared to 2019 and 30% more per store. You know that we have a fully integrated business model, and it’s impossible today to explain the online sales without the strength of the physical presence of our network of stores. The physical store provides a key logistic capabilities for online. And at the same time, the strength of our online channels reinforces our stores being 1 of our most important [prescribers] thanks to 249 million followers in social media apps, active, the visits, et cetera, et cetera.
James O’Shaughnessy: The next question comes from Georgina Johanan from JPMorgan.
Georgina Johanan: It was just around the CapEx investments that you’re making in sort of the logistics infrastructure and the automation. When we think about this into the midterm, is this something that should actually drive efficiency and leverage in the P&L? Or should we just think about it more sort of simply being about increasing capacity? And then I guess, following on from that near term, will there be any sort of disruption to operations as you’re carrying out those investments, please?
Marcos García: Thank you, Georgina. It’s obviously a combination. I mean to grow the company without investment is something which is quite difficult. But at the same time, I think we’ve been trying to stress that during our presentation, most of the activities are also implying a very significant increase in efficiency. And a very clear example of that is what we have done with the stores in recent years. We’ve mentioned in the presentation that we’re growing store sales by 23% with 6% less space. So increasing productivity per square meters of 16%. This is always very much the mindset, but obviously, you have to make those investments in front to drive the growth. So we’re talking about is a growth by investing in very significant assets that will continue to improve our differentiation and, obviously, with always the focus on return on capital employed. That’s very clear.
James O’Shaughnessy: The next question comes from Anne Critchlow at Societe Generale.
Anne Critchlow: Clearly, you’ve had very strong sales growth, and that wasn’t just upped by recovery out of the pandemic. But I’m just wondering how you see normalized growth looking forward. I think you used to say 4% to 6% like-for-like per annum. What’s your view now?
Marcos García: Well, thank you, Anne. That’s very clear. As in the first quarter 2020, we just mentioned that estimate. Clearly, the numbers we are publishing today in terms of the trading update, we have tried to qualify the 13.5% growth in this first period with the fact that from the 5th of March, we’re no longer comparing with sales in Russia. And this is why we have provided this 17.5% number. So clearly, a very strong start for the year. Obviously, to extrapolate that would be difficult, but very, very healthy start of the year. And this is what gives the company the confidence that we need to invest for growth. We have tremendous opportunities given the fragmentation in the market, the fact that we are in 230 markets and with very, very small market share. So clearly, very strong growth opportunities going forward with profitability.
James O’Shaughnessy: The next question comes from James Grzinic at Jefferies.
James Grzinic: James, I didn’t have a follow-up. But given that you passed me the line, I will ask you a follow-up. Just wondering about the excess liquidity you have, €10 billion of cash, not really driving any cash at this point. But do you expect that, that will change during what’s happening to rates globally? Are we going to see that interest line move in any material way more helpfully for you guys?
Oscar Garcia Maceiras: Thank you, James, for the question. Well, Inditex maintains a long-term growth strategy combined with a healthy balance sheet structure. The final strength of the company should provide flexibility enough to support the expansion of the business under a disciplined financial approach to sustain returns. This, of course, must be combined with an attractive and predictable shareholder remuneration policy. Our shareholder remuneration policy, you know that is that ordinary dividend payout should be 60% of net income. And since 2004, we have also paid a bonus dividend. And the Board of Directors will propose to the next AGM €1.2 per share, 29% higher than 2021.
James O’Shaughnessy: We’ll now proceed to the webcast platform. There have been a number of questions on the webcast platform. The first of which is, perhaps you could give us some more color on the growth in store sales over the period.
Oscar Garcia Maceiras: Well, thank you. I guess that we have already covered this topic. But again, we are very happy with the store sales performance during this last year, growing 23% reflecting that incremental footfall and increasing productivity despite the fact of having 10% less stores and 6% less commercial space. We are quite happy about the productivity of our stores. You know that, and we have already mentioned that our stores sell 16% more per square meter compared to 2019. But this is a result of our optimization program. We have bigger stores, better, more beautiful, in the best retail destinations globally and our fully integrated model. As I have already mentioned, and this is crucial for us, it’s impossible today to explain the strength of our online sales without taking in consideration the support coming from the physical store and, at the same time, the strength of our physical store sales without taking into consideration the support coming from the online channel. So we are quite happy and quite confident our capability of keep on growing our business in every market and in every commercial format.
James O’Shaughnessy: Thank you, Oscar. That concludes the webcast questions for today.
Oscar Garcia Maceiras: Well, thank you to all of those participating in the presentation today. For any additional questions you may have, please get in touch with our capital markets department. We look forward to speaking with you again in June. Goodbye.